Cyndi Holt: Good morning. This is Cyndi Holt, Vice President of Investor Relations and I would like to welcome you to the Tanger Factory Outlet Centers Fourth Quarter and Year End Conference Call. Yesterday, we issued our earnings release as well as our supplemental information package in our investor presentation. This information is available on our Investor Relations website investors.tangeroutlets.com. Please note that during this conference call some of management’s comments will be forward-looking statements that are subject to numerous risks and uncertainties and actual results could differ materially from those projected. We direct you to our filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G, including funds from operations, or FFO, adjusted funds from operations, or AFFO, same-center net operating income and portfolio net operating income. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded for rebroadcast for a period of time in the future. As such, it is important to note that management’s comments include time-sensitive information that may only be accurate as of today’s date, February 14, 2019. At this time, all participants are in listen-only mode. Following managements prepared comments; the call will be open for your questions. We ask you to limit your questions to two, so that all callers will have the opportunity to ask your questions. On the call today will be Steven Tanger, Chief Executive Officer; Jim Williams, Executive Vice President and Chief Financial Officer; and Tom McDonough, President and Chief Operating Officer. I will now turn the call over to Steven Tanger. Please go ahead, Steve.
Steven Tanger: Thank you, Cindy. Good morning and Happy Valentine’s Day. Today I will give you a summary of 2018 and highlights of the fourth quarter, along with our perspective on 2019, Tom will then provide you with additional operational color and Jim will provide financial detail and our outlook for this year. Looking back at 2019, Tanger continued to demonstrate our leading position in the outlet industry. This was exhibited by a number of notable items. We had an active leasing year with more than 1,800,000 square feet of leases signed that commenced in 2018, representing a 9% increase over the prior year. Average tenant sales continued to grow. We maintained a high occupancy level of 96.8% at year end. Occupancy costs for our tenants remains stable at less than 10%, providing them with an ongoing compelling and profitable and value propositions to keep their stores open in our properties and we increased membership in our exclusive Tanger Royalty Club by 13% to 1.4 million members. These represent our most active customers who on average visit our centers about 50% more frequently and spend over 10% more per trip than non-members. Additionally, as one of our key principles, we maintained a fortress balance sheet that supported our efforts during the year. During 2018, we completed several financing transactions, which had a combined effect of increasing our total borrowing capacity, reducing our exposure to floating rate debt and extending the average term to maturity. With the net debt to EBITDA ratio of 5.9x at year end, our balance sheet is well-positioned providing us with the financial flexibility to pursue growth opportunities as they arise and prudently return capital to shareholders as appropriate. Specifically, given our strong cash flow, we are able to allocate capital towards investing in our centers to keep them modern and attractive to our customers, buying back our shares, implementing marketing initiatives to drive traffic to our properties, paying down debts and paying our dividend, which had a low FFO payout ratio of 56% for 2018. I am pleased to announce that this week our Board of Directors approved our 26th consecutive dividend increase. Our annual dividend will increase by 1.4% to $1.42 per share and the first quarter dividend of $0.355 per share will be payable on May 15, 2019 to holders of record on April 30, 2019. All of this was accomplished as the retail industry faced challenges. Specifically, a number of meaningful tenants, including Toys "R" Us and Nine West entered bankruptcy. We also faced harsh winter conditions, including a hurricane, which caused 7 centers closures and related negative traffic. In light of this backdrop, we maintained our focus on leasing and driving traffic. We offset the vacancies caused in part by unexpected bankruptcies with robust leasing, including 431,000 square feet of re-tenanted space, which commenced during the year compared to 413,000 square feet, which commenced in 2017. We also continued to invest in our unique and successful marketing programs. The brands and value are key measures consumers come to our centers. However, we recognized that today’s consumers sometimes want more. Our marketing efforts are proven to be effective as we evolve how we reach consumers and how we work with our tenants. We have increased our consumer touch points across e-mail, our mobile app and websites, targeted direct to home programs and social media, which all helped to draw traffic to our centers and gives shoppers compelling reasons to this. We have seen additional success with our experiential events such as food truck festivals, family fares and influencer events. We have robust data-driven promotional programs that we provide for our tenants and tenant participation continues to increase. During 2018, we added several new tenants, which did not previously have an outlook presence such as American Girl as well as some popular local retail and restaurant concepts that have added outlets to their distribution strategy such as Carolina Pottery. With respect to our fourth quarter results, I am pleased that we were able to deliver better performance than we had previously anticipated. NOI came in stronger with sequential improvement in our year-over-year growth. Consolidated portfolio occupancy increased 40 basis points from the end of the prior quarter, which I believe is a strong testament to the strength of our team and our assets. As we move through 2019, due to the positive conversations we are having with tenants, we continue to gain confidence that for the most part, retailer sentiment is showing signs of improvement. However, our confidence is tempered by challenges that still exist with select retailers. We expect that reason bankruptcies filings will impact us in terms of rent adjustments and vacancies. As the year progresses, there may be other bankruptcies and selective rent adjustments. The space that might be recaptured is on average approximately 4,000 square feet per store. In general, that means more options for replacement tenants and less capital required to re-lease the space. We have accounted for this in our guidance. There is also an appropriate time to remind you that we have a favorable composition to our portfolio given that we do not have any big box anchor tenants such as Sears and JCPenney. Retailers have made it clear that the value of the benefits of profitability of the outlet channel in general and more specifically Tanger centers. Although we realized it may take longer than initially anticipated, we look forward to return to NOI growth and continue to work hard to deliver. We are excited to announce that we have commenced the early due diligence process for a new Tanger outlet center in Nashville, Tennessee, one of the fastest growing MSAs in the country. Once we achieved commitments, for at least 60% of the space, we anticipate beginning construction. While we recognize there are some near-term challenges, our confidence in the long-term growth of the outlet distribution channel remains unwavering. We believe outlet shopping provides the type of experience, which so many of today’s shoppers seek. Unlike a trip to the neighborhood mall or a shopping center, Tanger outlets is a destination. Finding a bargain never goes out of style. Furthermore, we continue to make it easier and more appealing for consumers to come to Tanger centers. We are evolving our customer communications by utilizing data to customize offers that appeal to our shoppers. We have also added convenience amenities at our locations such as our mobile app, digital directories and changing stations. Our centers are well located in rapidly growing areas surrounded by multifamily housing, dining options, big box retailers, hotels and entertainment that we do not have to put up our capital at risk to develop. We have proven adept at effectively navigating the ever-changing retail landscape over the last 38 years and expect that we will overcome the challenges we face today as we aggressively pursue new tenants and opportunities to enhance the performance of Tanger. We place the priority on maintaining a fortress balance sheet and the stability of our well covered dividend. With that, I would now like to turn the call over to Tom who will discuss the current sales of leasing environment.
Tom McDonough: Thanks. As Steve mentioned, our fourth quarter came in better than anticipated through the strong execution by our team. Maintaining well merchandised, vibrant centers is the key to our success. In that regard, we remain highly focused on our leasing and marketing activity to keep our centers filled with high-quality productive tenants. During the trailing 12 months ended December 31, we had 373 new and renewal leases commenced comprising 1.8 million square feet of GLA. That represents a 9% increase compared to the square footage, which commenced in the prior year. This leasing volume was offset by 126,000 square feet of space that was recaptured during the year due to bankruptcies and brand wide restructurings by retailers. Through aggressive leasing, we achieved 40 basis point sequential gain in occupancy during the quarter bringing our year end consolidated portfolio of occupancy to 96.8%. While seasonal tenants contributed to the gain, this improved occupancy demonstrates the ongoing successful execution of our proven strategy of maintaining well-merchandised centers while optimizing revenue and tenancy over time. For all leases that commenced in 2018, rents increased by 5.3% on a straight line basis and declined by 140 basis points on a cash basis compared to the prior year period. Comparable traffic for our portfolio was up 40 basis points in the quarter compared to the prior year. For the year, average tenant sales for the consolidated portfolio were $385 per square foot, a $5 increase from the prior year. On an NOI weighted basis, they were a healthy $413 compared to $406 per square foot in the prior year. Same center tenant sales performance increased 1.9% in 2018 compared to 2017. During the fourth quarter, we saw favorable results from our marketing efforts. In particular, in October, we ran in our annual peak style promotion, where we sell cards which offer discounts in participating stores in order to raise funds for breast cancer charity. Program was particularly successful this year with more than a 25% increase in pink style cards sold across our centers. And notably, the top sales performances during the month came from stores which participated. Through the November and December holiday period, we worked hard to drive awareness and traffic during competitive time and it was effective. For instance, the Daytona Beach tree lighting program yielded a 37% increase in traffic. Also, the strongest categories during the holiday seasons were juniors, specialty footwear and outerwear. Last quarter, we shared that we expected all-in cash rent spreads for 2019 lease commitments to be flat to slightly up on an absolute basis. Our 2019 commencement executed through January 31 that has held true. However, we are likely to be impacted and face ongoing pressure from future bankruptcies and restructuring, along with selective lease adjustment. Two retailers in our portfolio have recently declared bankruptcy. In our consolidated portfolio, we have a total of 28 Gymboree stores, including their Crazy 8 concept, comprising 66,000 square feet and 15 Charlotte Russe locations, comprising 87,000 square feet. I want to emphasize that these are still fluent situations that we do not know exactly which stores will close and when. As we seek to fill vacancies, we have the opportunity to upgrade our tenant mix with vibrant new retailers. Curating our tenancy continues to be one of our top priorities. There are lot of exiting potential opportunities within the apparel, accessories and footwear categories. As Steve mentioned, we don’t have large boxes to fill, so we likely won’t be seeking alternative used tenants. In addition, we are fortunate and that the area around many of our centers has been densifying, which brings more consumers to the area, without Tanger having to make the investment. We are reaping the benefit of densification without the corresponding risk. Let me give you a few examples. Since the opening of Tanger outlets in Fort Worth, Texas, the surrounding mix-used development has grown rapidly. More than a 1,000 multifamily units and almost a dozen restaurants, including in and out burger have been at it, with more units and restaurants to come. Also, the owners of the neighboring Marriott Hotels & Conference Center and Resort Golf Course have announced the significant renovation and the addition of big shops, a new golf and entertainment concept, similar to the Topgolf, in Daytona Beach, Florida located immediately adjacent to our center and Sam’s Club in a new town center development, which will include 550 multifamily units, Dave & Busters, Blaze Pizza and a number of big box retailers. There are also two residential developments underway nearby for approximately 7,850 homes, including the popular Jimmy Buffett, Latitude Margaritaville community. Similarly, adjacent to our center in Savannah and Pooler, Georgia, there has been tremendous growth, including Marriott, Holiday Inn and La Quinta Flags multiple restaurants and big box retailer, including HomeGoods and Alto. Residentially, over 600 units of homes and apartments are also planned that will be serviced by the extension of Tanger Outlets Boulevard. Finally, with regard to our future project, national tenancy is a market that we have been monitoring for sometime and believe now is the opportune time to pursue. The Nashville MSA is home to approximately 1.9 million people and represents one of the top growth markets in the United States. It is also growing tremendously as a tourist destination. Over 14.5 million travelers visited Nashville for business and leisure in 2017, which is nearly a 70% increase from 10 years prior. Our site is located a short drive from downtown, adjacent to and with good visibility from Interstate 24, a main artery into Nashville that sees approximately 160,000 cars per day. Importantly, it is immediately adjacent to a new full interchange currently under construction. Century Farms, as the master development is known, will also be home to a new hospital operations center and multiple large businesses. Once completed the outlet centers, it’s planned to have approximately 280,000 square feet of GLA. I will now turn the call over to Jim, to take it over financial results in a brief balance sheet recap.
Jim Williams: Thank you, Tom. Fourth quarter AFFO available to the common shareholders was $0.64 per share compared to $0.66 per share in the fourth quarter of 2017. Incremental income from our new developments and expansions completed in 2017 was partially offset by same-store NOI decrease of 70 basis points compared to the prior year quarter, driven primarily by the 2017 and 2018 store closures and lease modifications. These results have anticipated primarily due to the solid tenant sales, performance in the fourth quarter, which resulted in a better-than-expected percentage rent. Strong results from our seasonal tenant program and other income programs and lower-than-expected expenses, some of which is due to the mild winter season. For the year, FFO per share increased to $2.48 from $2.46, an increase of 1%. We recognized of $112,000 in termination fees and a consolidate portfolio to the fourth quarter of 2018 and $837,000 during the fourth quarter of 2017, which are not included in same-center and portfolio NOI. We were proactively in 2018 in enhancing of our fortress balance sheet, including two financing transactions in the fourth quarter, which continues our strategy of extended maturities and reducing our exposure to variable interest rates in both our consolidated and unconsolidated portfolios. First, in October, we amended and restated of our bank term loan, increasing the outstanding balance to $350 million from $325 million, extending the maturity to April 2024 from April 2021, and reducing the interest rates spread to 90 basis points, down from to 90 basis point, down from 95 basis point over LIBOR. The additional $25 million of proceeds was used to pay down the balance of outstanding under our security lines of credit. Second, in December, our National Harbor located near Washington, D.C. closed from $95 million mortgage loan with a fixed rate of approximately 4.6% and a January, 2030 maturity. We received net proceeds of $7.4 million, which were used to pay down of our unsecured lines of credit. Maintaining a strong balance sheet, remains a strategic priority for us. As of December 31, approximately 94% of the square footage in our consolidated portfolio was not encumbered by mortgages. Only $145 million was outstanding under our unsecured lines of credit, leaving 76% unused capacity or approximately $455 million. We maintained a substantial interest coverage ratio in for 2018 of 4.5x, and net debt to EBITDA was approximately 5.9x at year-end. Our floating rates exposure represented 10% of total debt or less than 5% of total enterprise value as of December 31, 2018. The weighted average interest rate for outstanding debt as of quarter end was 3.5%, and the average term to maturity was 6.2 years, but no significant debt maturities until October 2022. We continue to generate free cash flow and have a well covered dividend with a 56% AFFO payout ratio for 2018. In 2018, we reduced our consolidated debt by approximately $50 million. We didn’t repurchase shares from the fourth quarter. However for the year, we repurchased approximately 919,000 shares for $20 million at a weighted average share price of $21.74. This week, our Board approved an increase to an extension of our current share repurchase over net authorization. We are now authorized to repurchase up to 100 million of our shares until May of 2021. In terms of our outlook for 2019, we estimate that FFO per share will beat $2.31 and $2.37. Our key assumptions were in the release we issued last night. The major components compared to 2018 FFO are also summarized there. In particular, the year-over-year decline in same-center NOI and occupancy includes the full year impact of vacancy caused by bankruptcies and rate adjustments made in 2018. Additionally, the expectation is that 2019 will see further pressure from bankruptcies brand-wide restructuring of our retailers and potential rent adjustments. Based on what we know today, we expect that approximately 100,000 square feet of our recapture will come from the already non-filings. I would also like to point out that with regard to the impact of our adoption of the new lease standard we expect the effect of G&A related to the capitalization of internal leasing and legal costs to be approximately $0.04 to $0.05 per share. In addition, since we intend to use the practical experience and adopting the standard, we will recognize fixed CAM contributions from tenants on a straight-line basis. We believe this will have a positive effect of our on our revenues by approximately $0.05 per share adjustment. As we look ahead, the continued strength of our balance sheet provides us with stability as we work to produce organic growth, and allows us to take advantage of selective external opportunities that may arise. We expect to generate $100 million on free cash in 2019 after paying of our dividends. Therefore, we feel comfortable in our ability to maintain the strong balance sheet of glow deleveraging over the safety of our dividend. Our FFO payout ratio is expected to the approximately 60% on an FAD payout ratio, which is after recurring CapEx, is expected to be the mid to high 50% range. We will continue to evaluate our property use of the capital, which include reinvesting of assets, paying our dividend, repurchasing of our common shares opportunistically and deleveraging the balance sheet for also evaluating potential opportunities for long-term growth. This concludes our prepared remarks, I’d now like to open it up for questions. Operator, can we take our first question.
Operator: [Operator Instructions] Your first question comes from the line Greg McGinniss with Deutsche Bank.
Greg McGinniss: Good morning, Jim. I know you just kind of mentioned it. But could you explain a bit more how the change in lease accountings creating a CAM revenue benefit this year? I just – I haven’t heard any peers mentioned a similar adjustment to 2019 earnings?
Jim Williams: Sure. The FASB issued an optional prep to Expedia to make it easier to implement the standard. For those who not using that prep to Expedia issuers need to separate all the lease revenue into lease components and non-lease components. And this could require issuers to reset some potentially relocate revenue recognize for every single lease as a middle of ramp or expense reimbursement, which is economic component, if you thought the practical experience, which we think most of shares are doing you allow that all the revenue to drive from the lease of the single lease component. And that throws you into straight line of recognition of the entire fixed portion of the lease.
Greg McGinniss: Okay, alright. Thank you. I appreciate that. And then thinking about the same-store NOI range, could you possibly kind of bucket the pieces of it in terms of what the drag from occupancy is going be and then kind of rent escalators versus the reductions that we’ve seen or expect to have for the year?
Jim Williams: Like what I can provide, I think, if you look at the midpoint, the decline in NOI is 240 basis points, about 140 basis points have added, some of the expectations of the further bankruptcies, potential rent adjustments from 2019 activity. Add to that things would be down on around about 100 basis points, which factors in all these other things, you mentioned, the drag from the 2018 closures and so forth.
Greg McGinniss: Okay thank you.
Operator: And your next comes from the line of Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: Hi, thanks. Good morning, Tom. I am just trying to determine you know how your accounting for incremental store closures in the guidance, it would seem that you’re already at the midpoint, with the 87,000 for Charlotte Russe and 66,000 for Gymboree, maybe a couple of other closures. But I think Jim mentioned that you have accounted for 100,000, so what’s the delta there and can you discuss whether there is sort of another reserve or anything else embedded in guidance for potential store closures that’s capturing some of that activity already?
Tom McDonough: Well, I believe as Jim mentioned just a minute ago, 1.4% of that – of the midpoint of the Same Center NOI decreases related to what we expect to get from store closures. And as you mentioned, a chunk of that is already known, but there – we’re expecting it will be more and we don’t know exactly what those will be right now.
Jim Williams: And Todd, this is Jim, just to add to that. I think a part of what’s known of that 140 basis points is – two of the filings already with Gymboree, Crazy 8, and Charlotte Russe we mentioned earlier. Of the 100,000 square feet that we believe we’ll close, that’s about 100%, excuse me, about half of that 140 basis points, but half of it’s unknown to – for the anticipation that there may be further bankruptcies or other.
Todd Thomas: Okay. And then in terms of the average occupancy assumptions of 94% to 94.5%, where do you see that going in the first half? Just trying to get a sense of the magnitude of the decrease that you might experience early in the year and how much that might ramp in the back half of the year? And maybe Tom, along those lines, you commented that seasonal occupancy contributed to the increase in sequential occupancy. How much of a contribution was that in the fourth quarter?
Tom McDonough: In the fourth quarter, the majority of that was seasonal. And the first question was?
Todd Thomas: Just in terms of the sort of cadence of occupancy change throughout the year, what to expect in the first half versus the second half as it pertains to that – the 94% to 94.5% range?
Tom McDonough: So, Todd, I think about 100 basis points of occupancy is – the decline is driven by this 140 basis points of Same Center NOI we’ve been talking about, that’s anticipation of the bankruptcies and the 2019 bankruptcies. So, we think of the known part that we’ve mentioned, which is about half of that we expect to come in second quarter.
Todd Thomas: Okay. And the seasonal occupancy, the majority of those tenants have already moved out in the first quarter or will move out in the first quarter?
Steven Tanger: Historically, Todd, you’re right, first quarter does show the dip, the fourth quarter usually is stronger with seasonal tenants that usually close in first quarter, right.
Jim Williams: Right.
Todd Thomas: Okay. Thank you.
Operator: And your next question comes from the line of Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: Hi, good morning. I guess, I was wondering if you guys could talk about – I think in the past, you had mentioned in terms of the balance between pushing rents and occupancy that the goal would be first to focus on creating demand and improving occupancy and then on the rate side. So, I was wondering, if you could just comment where you are kind of in that process and how you feel that’s going?
Steven Tanger: Good morning, Caitlin. We have a longstanding strategy of maintaining high occupancy. We have found that to be successful over past 35 years and creating an environment that the consumer wants to shop. It creates a false environment or not compelling environment if there’s a lot of dark holes. So, we have always used seasonal tenants, shorter-term pop-up stores to maintain a compelling environment for our consumers and our guests when they shop. We’ve had several pop-up stores become high volume permanent tenants, one of which is Vineyard Vines. So that project is – that strategy has been successful over many years. I don’t see any reason to change it. As I mentioned, our occupancy at the end of the year was 96.8%. We’ve guided at a lower occupancy average during the year based on what we know today with existing file bankruptcies. As everybody knows bankruptcy happens fast and refilling the space takes a little time, but we have an aggressive highly seasoned leasing group that’s been together for many, many years and has worked together very well to attempt to fill those spaces. The good thing is our average size store is only 4,000 square feet. We’re not faced with losing a large anchor box or a large department store or a large Sears that costs anywhere from $20 million to $25 million to repurpose and subdivide into other uses. The size – average size of our store, they’re all effectively 100 feet deep, are relatively easy to refill with a wider universe of tenant potentials and it’s significantly less capital expense.
Caitlin Burrows: I guess, just on that since you brought up the average size of the stores, have you noticed any kind of change over the past year or 2 for Tanger? And I guess going forward in the leases you’ve done, if you had a scenario where you wanted to say like combine two of those 4,000 square foot boxes into one, would that new 8,000 box, could you remind us be included in the leasing spreads?
Steven Tanger: I...
Jim Williams: That is yes. Caitlin, I’m sorry, can you ask the question again?
Caitlin Burrows: Yes, I guess, two parts. In terms of average box size, have you guys noticed any shift over the past year or 2? And then based on the leases you’ve signed for going forward? And then second, to the extent, there are shifts in box size, does that or does that not get included in the leasing spreads?
Jim Williams: Sure, I’ll take that. The second question is, yes, all those – all the box sizes get factored into our leasing spread, we don’t exclude any boxes from our spreads.
Tom McDonough: And with respect to the change in the average size, we haven’t seen a meaningful change. I mean, certain tenants are growing and looking for bigger sizes than they were before, others are making their size smaller, but on average, it’s very similar.
Caitlin Burrows: Okay. And then maybe just on the Nashville announcement, that’s exciting that you guys could be building a new center there. So, I was just wondering in terms of making the announcement to the community, what was your kind of threshold in terms of telling us? And then at what point do you expect to know that – when are you aiming to kind of get to that 60% pre-lease to say move forward or not?
Tom McDonough: Well, in terms of timing for the announcement, we are preparing our year – a big part of our leasing year is the ICSC Convention in May and we’re going to have our leasing folks up and running on this project before then. So, that contributes to the timing right now. With respect to when we’ll get to the 60% pre-lease, it’s very hard to tell. This is a project that will take a good bit of time because in addition to customary entitlement and pre-leasing, there’s a new interchange that needs to be built and a significant amount of grading to go on there. So, it will take a little time to get there. I would – really difficult to guess exactly when we get to that point, but we’re comfortable we’ll get there because it’s a dynamic market and –
Caitlin Burrows: Okay, thank you.
Operator: The next question comes from the line of Craig Schmidt with Bank of America.
Craig Schmidt: Yes. I guess, sticking with Nashville, it’s mentioned that’s a near Downtown location. I just wonder, if you’re getting any pushback by tenants that aren’t comfortable with trading and proximity to traditional distribution?
Tom McDonough: In general, that has lessened quite a bit overall, not just in Nashville. And I will say this is a, I think a short drive from Downtown, I wouldn’t – it’s not walking distance by any means.
Craig Schmidt: Okay. And then on the 9.9% cost of occupancy, given your thought of where sales are heading and where you might be doing some restructuring of leases, do you expect that cost of occupancy to come up or go down?
Tom McDonough: Well, Craig, we’ve had probably 300,000, 325,000 square feet returned to us through unexpected bankruptcies in 2017 and 2018. We’ve maintained the occupancy during that period in the face of this large over-leverage buyouts from the private equity companies. We’ve been able to maintain during the last 2 years occupancy and working with our tenants to remain – to achieve cost of occupancy, where they still find it – find distribution in the outlets to be very profitable. I don’t – I think we would – we’re planning to have that cost of occupancy stay approximately where it is, maybe trend back to 10%, but it’s not going to jump highly with the existing co-tenants seeing the high occupancy that we anticipate.
Craig Schmidt: Great. Thank you.
Operator: And your next question comes from the line of Christy McElroy with Citi.
Christy McElroy: Hi. Good morning, everyone. Just to follow up on Nashville more from a capital allocation perspective. How do you think about sort of now being the right time to explore ground-up development in the more uncertain retail environment versus putting capital towards share buybacks as you’ve done and sort of recurring CapEx needs, but also putting incremental capital into existing centers?
Steven Tanger: Good morning, Christy. Nashville is not going to happen tomorrow. It may be a year, 2 years, three years down the road. We are not allocating significant capital, very little capital right now to the Nashville future project. We are responding to some of our larger more productive tenants request to continue to grow and that’s a result of the profitability of the outlet distribution channel. So, I think one needs to look at allocation short-term, which Jim has mentioned, our priority allocations are the ones you just talked about. Over time, we intend to continue to grow. We have confidence that the outlets are – that the outlets remain popular with consumers. There is a void in this market and so I think the answer – the quick answer is, there is no capital – very little capital being allocated today.
Christy McElroy: Okay. And then can you comment on may be your appetite or desire to sell assets today? Can you may be comment on the press reports that Tanger Outlets Williamsburg is up for sale and are you marketing any others?
Steven Tanger: We really don’t comment on any acquisition or any disposition until its closed. But I would tell you we’ve had a longstanding policy of pruning our own portfolio and recycling the capital. Since December 2014, we’ve sold 9 properties and recycled $272 million in capital in doing so. So, if something does close, of course, we will provide a press release and the details.
Christy McElroy: Okay. And if I could ask just one more, you’ve talked a little bit about sort of the retailer brand-wide restructurings. Are you seeing an uptick of the – in those as we head into 2019?
Steven Tanger: Well, the brand-wide restructurings through bankruptcy are well-known and published. We – and that’s basically what we’re referring to.
Christy McElroy: Okay. Got it. So, in terms of sort of rent adjustments that you’re doing by retailer on expirations in any given year, that’s – that – are you still seeing the same pace of that?
Steven Tanger: Obviously, it’s tenant-specific, it’s shopping centers specific. We don’t see much change from the prior 2 years.
Christy McElroy: Thank you.
Operator: Your next question comes from the line of Samir Khanal with Evercore ISI.
Samir Khanal: Hey, Steve. Just taking a step back and just looking at the industry as a whole and – how should we think about the long-term sales growth of your portfolio? If sales doesn’t grow much from here and you’re sort of in this 1% to 2% range and with occupancy costs just around 10%, where do you really go here from a pricing perspective? Obviously, there’s sort of a headwind over the next maybe 12 months, 24 months, but kind of in this 3-year to 5-year period, where do you see sales growing and pricing perspective as well?
Steven Tanger: My crystal ball is a bit cloudy once I go out past a year, so I’m really not comfortable talking of 3-year to 5-year period of time. We have fought as other peers in our industry a disproportionately large amount of bankruptcies caused by over-leveraged buyouts of specialty retailers by the private equity industry. That seems to be sorting itself out now. There were two that were announced in the first part of the year, but we’re hopeful that it’s getting towards the end. That’s created an overhang. And as we’ve mentioned, our strategy is to keep the lights on. That space is being refilled. I think we’ve done a terrific job of refilling the vacant space caused by those unexpected bankruptcies. We will – pricing depends on occupancy. And over time, as has been our history, this is not the first time we’ve experienced retail slowdown or an economic slowdown in the past 38 years, probably the fourth or fifth time. And we are working hard to keep the space full with vibrant tenants. If we are successful, which we have been, that will create more demand for space. The 25-year-old, 30-year-old outlet centers, some of which are being repositioned in other uses has reduced the supply of outlet space to the consumer. There’s been very little new development. So that supply/demand dynamic is working in our favor. Right now, in view of all the headlines, we are comfortable with the sales growth that we’ve had in the last 2 years. And expect if we continue to fill the space with new exciting tenants that will create more demand and that will lead to more pricing power just as it has in the past.
Jim Williams: If I may add, we’ve mentioned a number of times most of our tenants tell us the outlet channel is their most profitable channel and a number have indicated they’re profitable at much higher cost of occupancy than 10%.
Samir Khanal: Okay. Thank you for the color.
Operator: And your next question comes from the line of Michael Mueller with JPMorgan.
Michael Mueller: Yes, hi. Couple of numbers questions first. I may have missed this, but did you talk about what the CapEx spend is expected to be in 2019? And then also on the rent spreads, the commentary about flat to positive so far in 2019 on what you’re pleased. Can you comment on where the cash spreads are positive as well, flat to positive?
Steven Tanger: Yes, hey, Mike, on your – in terms of your first question, that’s one of our items in the guidance section of our press please we provide for the CapEx.
Michael Mueller: Okay, got it.
Steven Tanger: We’re (Multiple Speakers) of $36 million to $40 million, which is pretty comparable to what we spent in ‘17. And the answer to your second question is yes.
Michael Mueller: It is positive, okay. And then going back to the Nashville development for a second. I mean, do you anticipate anything being different in terms of mix maybe, a different mix in terms of outlet versus non-outlet tenants or food and entertainment versus something else compared to what you’ve built over the past 5 years, 7 years?
Steven Tanger: No. We’ve sized the Nashville project at 288,000 square feet, which we think is an appropriate size for that market. This will be part of a larger multi-use development. Mike, this might be an appropriate time to say that as part of our capital allocation, we prefer other people to put their money at risk and densify the area around us as has happened many, many times in our history. Tom identified several places around the country, where we went in with an outlet and other people took the development risk and densified the area with multi-family housing, office, other types of retail, multiple restaurants. I just say that throughout entire portfolio, we have 203 restaurants within an easy walking distance of our shopping centers. We don’t have to take the risk to put our capital into supporting restaurant concepts that may or may not work we are happy to let other people take that risk.
Michael Mueller: Got it, okay. That’s what I had. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Tayo Okusanya with Jefferies.
Unidentified Analyst: Good morning. This is Ruben on for Tayo. What is the embedded assumptions in guidance around share buy backs? If there none currently assumed, how much do we expect in 2019?
Tom McDonough: Well, we don’t give the specific guidance regarding the share buybacks and what I can tell you is our CapEx and is particularly very comparable to the last year, as we mentioned 36% to 40%, generating over $100 million in cash flow over and above our dividend. So, it gives us plenty of room to continue our priorities, that we have the last year, I think gives us the opportunity that we can use some of those proceeds to continue to buy back shares opportunistically with make sense not continue to deleverage of our balance sheet and improved the assets in our portfolio.
Unidentified Analyst: Got it. Thank you. And then sorry if I missed this but on the Nashville project, what is the expected yield for the project?
Tom McDonough: We haven’t given a yield or an occupancy grand opening date, we will be happy to update as the project continues during the course of the next year or so. We are right now we’re not in a position to give the yield.
Unidentified Analyst: Got it. Thank you very much.
Operator: And your next question comes from the line of Steve Sakwa with Evercore ISI.
Steve Sakwa: Thanks. Just one question on the share buyback, I guess you guys did not buy any stock in the fourth quarter. I didn’t know if you’re blacked out or there was a specific reason, why you guys going to take advantage of the volatility in Q4?
Steven Tanger: Steve, this is Steve. Good morning. No, we chose to pay down $50 million in our debt, and that was over capital allocation decision and made no share buyback and in the fourth quarter. Our board, as we mentioned, has increased and extended the buyback authorization to give management the optionality to buy back shares when we think the when we think it’s an appropriate time.
Steve Sakwa: Okay thank you.
Operator: And there are no further audio questions. Do you have any closing remarks?
Steven Tanger: So just want to take emphasis to thank everybody for participating in our call today. We do look forward to seeing many of you at the city conference in Florida in a couple of weeks in the March 1. Once again, have a great day and thank you. Goodbye now.
Operator: Thank you. This concludes today’s conference. You may now disconnect.